Operator: Ladies and gentlemen, good day. And thank you all for joining this NewMarket Corporation Conference Call and Webcast to review First Quarter 2020 Financial Results. As a reminder, all phone participants shall remain in a listen-only mode for today's session. Also, today's call is being recorded. And with that, I am pleased to turn the floor over to our host, Vice President and Chief Financial Officer, Mr. Brian Paliotti. Please go ahead, sir.
Brian Paliotti: Thank you, Jim, and thanks to everyone for joining us this afternoon. With me today is Teddy Gottwald, our Chairman and CEO. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, we may also discussed non-GAAP financial measures included in our earnings release. The earnings release which can be found on our website includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We filed our 10-Q this morning. It contains a significantly more detail on the operations and performance of our Company. Please take time to review it. I will be referring to the data that was included in last night's earnings release. Net income was $85.5 million, or $7.67 a share compared to net income of $62.2 million, or $5.57 a share for the first quarter of last year. Petroleum additives net sales for the first three months of 2020 were $557.4 million compared to $532.7 million for the same period in 2019, or an increase of 4.6%. Sales increased about $25 million, mainly due to a 5.9% increase in shipments with increases in lubricant additive shipments, partially offset by a slight decrease in fuel additive shipments. Europe, North America, and Latin America were the drivers for the lubricant additives increases, partially offset by decrease in Asia Pacific. Petroleum additives operating profit for the quarter was $113.7 million, higher than the first quarter operating profit last year of $87.9 million. The increase was primarily due to higher shipments and lower conversion costs with lower raw material costs offset by decreased selling prices. The operating margin was 17.5% for the rolling four quarters through the first quarter of 2020. Margin management will continue to be a priority in 2020 as we continue to see volatility in our raw material costs. The effective income tax rate for the first quarter of 2020 was 22.3%, down from the rate of 23% in the same period last year. Also during the quarter, we funded capital expenditures of $20.1 million, paid dividends of $21.2 million, and repurchased 252,383 shares of our common stock for a total of $94.3 million at an average price of $373.79. In March, we also entered into a new five-year $900 million revolving credit facility that replaced our prior $850 million facility. We continued to operate with very low leverage with a net debt-to-EBITDA ending the quarter at 1.2 times. For 2020, we expect to see the capital expenditures for the corporation in the $75 million to $85 million range. I will now turn it over to Teddy for some comments.
Teddy Gottwald: Thanks, Brian. First and foremost, I would like to say, thank you to our 2,000-plus team members who have adjusted to life in the COVID-19 world and who have made the necessary changes, so that we have been able to continue to operate safely around the world. This has not been easy on anyone, and our team is certainly no exception. Our primary focus, besides keeping everyone safe, has been meeting our customers’ needs through this crisis. Our plants continue to run without interruption. We have ramped up raw material purchases to make sure our supplies aren’t disrupted. We've worked with our customers to help them find products when other suppliers had issues. We've kept our labs running and R&D projects moving forward, so we don't lose time developing new products for future needs. And we're working with our customers to help manage their inventories through disruption in the worldwide transportation systems. Helping our customers through these uncertain times will continue to be our focus. Our business continuity planning process has us well-prepared to manage through this challenging time. We're clearly pleased with our first quarter results and with the breadth of strong performance across all regions. We're glad to have this quarter in the books because we are certain that we'll see a downturn in the second quarter. As governments have instituted social distancing and stay-at-home orders, this is having a significant impact on parts of our business. The number of miles driven has dropped and many auto companies have suspended production. We expect to see a significant decline in shipments of products that go into passenger vehicle lubricants and fuels, particularly in Europe and the Americas. This is a substantial part of our business. We expect the impact on our products serving the trucking, farming, and industrial markets to be less severe. As most of you know, we don't give earnings guidance and we're not going to change that policy now. While we don't know how long this downturn will last, we're encouraged by the recovery we've seen already in our China business, which saw a hit in the first quarter. We expect the rest of the world market to bounce back too when government restrictions on people's movement are eased. The rate of recovery will depend heavily on the rate at which these restrictions are lifted. Modern transportation and machineries can't function without our products. Knowing this, we will continue to manage for the long term, and we are well-positioned to weather the short term storm. Hopefully, we'll have a better view on the impact during our next investor conference call after second quarter results are published. Like many industrial companies, we've gone through our supplies to provide all masks, goggles and other protective equipment that we can spare to our local hospitals and fire departments. The chemical and oil industries are indispensable in the fight against the spread of the coronavirus with many of our industry’s products such as disinfectants, test kit materials and disposal PPE being critical in the frontline to the fight against the virus. And the chemical and oil industries working together with our OEM partners provide quality lubricants and fuels to ensure low cost, reliable transportation systems for delivering essential goods and people, and industrial lubricants to keep equipment running, no matter how long the fight may last. We're glad to be doing our part in the fight. In over 30 years in the chemical industry, I've never been more proud to be associated with this industry. Thank you for joining us for the call today. We hope you are all healthy and staying safe. We appreciate your support. And so, we would like to say thank you to our employees, customers, and shareholders for all that you do. And while we expect a challenging year, we continue to see a bright future ahead for our Company. Now, I'll turn the call back over to Brian.
Brian Paliotti: Thanks, Teddy. Jim, that concludes our planned comments. We are available for questions via email or phone. So, if anyone would like to contact us directly, please do so. And we thank you all again and we will talk to you all next quarter.
End of Q&A: Gentlemen, thank you for your remarks this afternoon. Ladies and gentlemen, this does conclude today's meeting. We thank you all for your participation. You may now disconnect your lines. Have a great day.